Operator: Good morning. And welcome to the Prestige Consumer Healthcare Fiscal 2023 Earnings Conference Call. All participants will be in listen-only mode.  After todayâs presentation, there will be an opportunity to ask questions.  Please note, this event is being recorded. I would now like to turn the conference over to Phil Terpolilli, Vice President of Investor Relations and Treasurer. Please go ahead.
Phil Terpolilli: Thanks, Operator. Thank you to everyone whoâs joined today. On the call with me are Ron Lombardi, our Chairman, President and CEO; and Christine Sacco, our CFO. On todayâs call, we will review our first quarter fiscal 2023 results, discuss our full year outlook and take questions from analysts. A slide presentation accompanies todayâs call, we can access it by visiting prestigeconsumerhealthcare.com, clicking on the Investors link and then on todayâs Webcast and Presentation. Remember some of the information contained in the presentation today include non-GAAP financial measures. Reconciliations to the nearest GAAP financial measures are included in the earnings release and slide presentation. On todayâs call management will make forward-looking statements around risks and uncertainties, which are detailed in a complete Safe Harbor disclosure on page two of the slide presentation that accompanies the call. These are important to review and contemplate, business environment uncertainty remains heightened due to COVID 19 and various other geopolitical factors, which have numerous potential impacts. This means results could change at any time and the forecasted impact of risk consideration to the best estimate based on the information available as of todayâs date. Further information concerning risk factors and cautionary statements are available on our most recent SEC filings and most recent company 10-K. I now hand it over to our CEO, Ron Lombardi. Ron?
Ron Lombardi: Thanks, Phil. Letâs begin on slide five. We are pleased with our start to the year, which continues the momentum from our record fiscal 2022, which we completed back in March. This success is driven by the business attributes of our leading 100% consumer healthcare platform and the execution of our time tested value creation strategy. Thanks to this strategy, we achieved net sales of $277 million in Q1, the highest level of quarterly sales in our companyâs history and slightly ahead of what we anticipated back in May. Our organic business trends were healthy throughout our portfolio, aided by consumer demand and our long-term brand building. This included a strong performance from our International segment and the Hydralyte brand, which I will touch on in a bit more detail momentarily. Our strong sales translated into strong profitability, generating a $1.9 in diluted EPS and nearly $60 million in free flow. We also achieved an approximate 34% EBITDA margin, despite the volatile supply chain and inflationary environment affecting our industry. Our predictable and consistent cash flow profile continues to enable a disciplined capital allocation strategy. In Q1, we executed a portion of our share repurchase program, while maintaining a leverage ratio of 3.8 times. Now letâs turn to page six and discuss Hydralyte in more detail. Hydralyte continues to lead the robust growth of our International segment. Thanks to its leading number one share position and proven brand strategy. The Hydralyte brand defined oral hydration Australia, representing over 90% of the category. The majority of Australians recognize the brand immediately. Thanks to its great tasting profile, efficacy and our proven brand building efforts. In Q1, all of Hydralyte various form factors liquids, powders, tablets and more grew consumption in the mid-double digits versus prior year. As shown on the left side of the page, this impressive growth is the continuation of a much longer trend for the brand, driving both increased household penetration and usage over time. Our Hydralyte brand has been synonymous with oral hydration for Australians over the last 20 years and we see continued opportunity ahead. We continue to use targeted messaging, extend usage occasion and execute various other marketing tactics. This leaves us well-positioned to drive growth of the category and the Hydralyte brand into the future. Now letâs turn to slide seven. Our long-term sales growth is enabled by very strong financial profile that enables us to invest behind our brand building, including innovation. Each of our brands operate with a multiyear product development pipeline designed to ensure that we continue to understand and meet the needs of consumers. When we introduce new products, they are typically designed by using consumer insights to capitalize on market opportunities, which drive brand and category growth. These products are designed a new and efficacious ways to help consumers take care of their health and ensure a superior experience. As the innovations come to market, we work with our retail partners to provide key channel support to drive consumer awareness of these new items. Featured on the left, our two recent examples of this strategy at work. The new Summerâs Eve Spa line expands the brand into luxurious self-care that consumers seek. Since launching, we have turned on an impressive omnichannel campaign to inform consumers of the spa difference in both the traditional wash form and the serum designed for skin hydration. Clear Eyes Allergy is a new prescription strength once-a-day drop designed for relief from indoor and outdoor allergies. Leveraging our social media influencers such as Hilary Rhoda, John Pier , we are driving consumer awareness across TV and digital channels during the summer allergy season So, in summary, the products shown here are just two recent examples of our time tested innovation playbook and we look forward to new products driving growth going forward. Now, I will pass it to Chris to walk through the financials.
Christine Sacco: Thanks, Ron. Good morning, everyone. Letâs turn to slide nine and review our first quarter fiscal 2023 financial results. As a reminder, the information in todayâs presentation includes certain non-GAAP information that is reconciled to the closest GAAP measure in our earnings release. Q1 revenue of $277.1 million increased 2.9% versus the prior year, but declined 1.2% excluding the effects of foreign currency and our acquisition of Akorn. North America revenues were approximately flat versus prior year and down mid-single digits excluding Akorn. As a reminder, Q1 faced the unique comparison in the prior year when we experienced dramatically higher sales as consumers shifted habits, most notably in travel with increased vaccination rates. Our International segment revenues of $34.5 million were up over 30% in Q1 excluding FX, led by the Hydralyte brand strength, Ron discussed earlier. As expected, EBITDA and EPS both declined slightly in Q1 from the unusual prior year, but EBITDA margin remained consistent with our long-term expectations in the mid-30s. Letâs turn to slide 10 for more details around consolidated results. As I just highlighted, our Q1 fiscal 2023 revenues increased 2.9% versus the prior year. We experienced robust consumer demand across several categories including cough and cold where our Chloraseptic, Ludenâs and Little Remedies brands all experienced growth. We also continue to experience double-digit year-over-year growth in the e-commerce channel, continuing the long-term trend of higher online purchasing. Total company gross margin of 57.8% in the quarter declined 130 basis points versus last yearâs gross margin. This was as expected and attributable to the timing of cost increases and product mix. We continue to anticipate an approximate gross margin of 56% for both Q2 and fiscal 2023, and we continue to institute pricing actions across our portfolio to offset the dollar amount of inflationary headwinds. Advertising and marketing came in at 14.4% for the first fiscal quarter. For fiscal 2023, we still anticipate an A&M rate of just over 14% of sales. G&A expenses were 9.6% of sales in Q1, slightly higher than anticipated due to the timing of certain expenses, but we still anticipate full year G&A dollars to approximate prior year at around 9% of sales. Finally, diluted EPS of $1.9, compared to $1.14 in the prior year, down from the factors previously discussed. Our Q1 tax rate of 22% was below prior periods due to the timing of certain discrete tax items, which generated a $0.03 EPS benefit. We still anticipate a full year fiscal 2023 tax rate of approximately 24%. Now letâs turn to slide 11 and discuss cash flow. In Q1, we generated $57.2 million in free cash flow, down versus the prior year due to the timing of working capital. We continue to maintain industry-leading free cash flow and are maintaining our outlook for the year. At June 30th, our net debt was approximately $1.5 billion and we maintained our covenant defined leverage ratio of 3.8 times. We still anticipate being below 3.5 times leverage by fiscal year-end and anticipate slightly higher interest expense versus the prior year Lastly, in the quarter, we utilized approximately $38 million of the $50 million share repurchasing program authorized in May, repurchasing approximately 700,000 shares. With that, I will turn it back to Ron.
Ron Lombardi: Thanks, Chris. Letâs turn to slide 13 to wrap up. Our business continues to have solid momentum and we are reaffirming our full year outlook. Thanks to our solid start to the year. For fiscal 2023, we continue to anticipate revenue growth of approximately 3% to 4%, including organic revenue growth of 2% to 3%, consistent with our long-term target. Q2 revenues are anticipated to be approximately $283 million, an increase of about 2.5% versus the prior year. We also continue to anticipate EPS of $4.18 to $4.23 for fiscal 2023. For Q2, EPS is expected to be between $0.98 and $1. Our disciplined pricing actions and cost management are helping to us offset inflationary headwinds, while the benefits of our strong free cash flow are expected to help offset the impact of higher interest rates. Lastly, we continue to anticipate free cash flow of $260 million or more. We still expect being below 3.5 times leverage by fiscal year-end, as we continue to execute our disciplined capital deployment strategy that includes debt pay down. With that, I will open it up for questions. Operator?
Operator:  The first question comes from Stephanie Wissink with Jefferies. Please go ahead.
Chris Neamonitis: Hey. Thanks, everyone. Itâs Chris Neamonitis on for Steph today. Just curious to understand a little bit more of the strength in International, particularly about channel rebuilding or more kind of sustainable uptick. I ask just because I think it would seem counter seasonal to me, but wondering if you could provide maybe a bit more color on the dynamics there and I know you talked about I think your commentary is really suggestive of more trends sustainability, but any more color on how you are thinking about it would be helpful?
Ron Lombardi: Sure. Good morning. So, first of all, there is some usage for Hydralyte during the cough-cold season that there --- that Australia is in the middle of right now. So, not all of its countercyclical. Second part of it is, Australia still goes through a distributor model, so it can be tough to predict the timing of distributor orders. So at this point we are attributing most of the gain to timing.
Chris Neamonitis: Got it. And then maybe just wanted to touch on really whatâs embedded within the guidance as it relates to cough and cold, and the trends you are anticipating there. Any change in assumption from the previous guidance based on what you have seen year-to-date?
Christine Sacco: Yeah. Hi. This is Chris. Good morning. So no change really from our initial guide, just as Ron was just mentioning on the International business, we think there may have been some timing benefits on retail order patterns for cough-cold. As you can tell very difficult environment to predict, particularly having a strong cough-cold rebound in the non-seasonal fiscal Q1 period for us, so we will watch it, but no change to the initial assumptions really.
Chris Neamonitis: Great. Thanks.
Operator: Next question is from Jon Andersen with William Blair. Please go ahead.
Jon Andersen: Good morning, everybody. Thanks for the question.
Ron Lombardi: Good Morning, Jon.
Jon Andersen: First question is around really the recovery in --- I guess recovery or improvement in organic growth that is implied by the guidance for the balance of the year and what you are seeing within the kind of consumer landscape, perhaps, new products, just general business momentum that that gives you confidence that we will see that that recovery kind of play out in the way that you have kind of outlined for the cadence of the year?
Ron Lombardi: Yeah. So -- thanks, Jon. So, first of all, the trends for our business have been pretty steady for quite a while now and our outlook for the remainder of the year really is just a continuation of that and the change in growth versus the prior year in upcoming quarters really is driven by the comp period. In the first quarter of last year, we benefited from a significant recovery in travel and other activities, as people started to get out of the house again, as they got comfortable with the COVID environment and that kind of thing. So itâs really just a comp rather than a change in the underlying trends of the business.
Jon Andersen: Thatâs helpful to understand. Are you --- are we reaching a point now where the kind of the variations that we have seen over the past couple of years related to the pandemic and the impact on the consumer, is that kind of going to be less of a discussion point, do you think going forward, now that, again it sounds like we have kind of lapped up that comp at this point, but whatâs your sense of that?
Ron Lombardi: Yeah. So if you look at our businesses results last year after we got past the first quarter, it was pretty steady and the trends have really continue that as we have gotten into fiscal 2023 here. So itâs going to be a bit steadier. We continue to be in a hard to predict environment as we sit here today. COVID infection rates continue to peak from where they were even just a couple of months ago with the latest versions of COVID hitting us. I think the good news for us is that our business has proven to be fairly stable and doing well kind of no matter what kind of environment we are operating in. So tough to predict, but we continue to feel good that no matter what kind of environment we wake up into next quarter, next week, we are well positioned to continue to do well?
Jon Andersen: And we hear -- have heard recently about excess inventory levels some retailers, I understand thatâs mostly outside of the categories in which you compete, but some time retailers will look to the categories that are faster turning in order to help address working capital productivity in the near-term. Is there anything that you are kind of seeing from a customer perspective that you would have the potential to impact your shipments relative to takeaway, which take away seems to be consistent, as you said?
Ron Lombardi: Thereâs really no change in what we talked about back in May, which is in general, in our space, I think, most players would like to see more inventory. We would like to have more inventory. We think our retail customers would like to have more inventory. This continues to be a very challenging supply chain environment. I think you are hearing many of the players in our space talk about a focus on service levels and we would like to see improved service levels going forward, but it just continues to be a challenging supply environment, where you address one issue thatâs a challenge and another one pops up. And we are doing a good job managing through it and I think a great example is our record level of sales this past quarter. So challenging environment and I think thereâs probably more upside opportunity to the supply chain and inventory levels than there is downside.
Jon Andersen: Okay. And you seem to be doing quite a good job of timing or matching price and cost at least you are kind of maintaining your gross margin outlook where we have seen more of many companies adjust just that lower. What do you think that -- whatâs helping you to accomplish that, whether itâs just less inflation because of the nature of your products, or perhaps, your ability to get pricing into the market in relatively short order?
Christine Sacco: Yeah. Jon, hi. This is Chris. I think itâs both of those things. We think for the most part, we included the inflationary pressures we are seeing today in our initial guide back in May, very fluid environment, as Ron said. But there is nothing material that is kind of popped up either on the pricing side, our ability to take price or on the inflationary side compared to our initial guide, so more of the same and consistent.
Jon Andersen: Okay. And the last one, I will pass it on. Your leverage ratio is quite reasonable by historical standards for your business and you have been buying back some stock. Whatâs -- I know you canât talk specifically about M&A, but whatâs kind of your posture right now towards capital allocation as we look forward over the next six months to 12 months? And if some of the changes in the CHC marketplace because of pharmas getting off and assets moving around just that perhaps influenced or change the outlook for M&A?
Ron Lombardi: So, first of all, the M&A pipeline the activity out there has been consistent for a long time and we expect that it will continue to present opportunities like it has in the past for us. Our approach continues to be looking for the right kind of opportunities that fit with our long-term brand building focus. And the TheraTears brand acquisition last year at a good value for our shareholders within our long-term focus of continuing to reduce leverage is a great example of how we would look to execute M&A opportunities into the future. So we are going to continue to pay down debt and be disciplined and how we think about using our capital allocation going forward.
Jon Andersen: Okay. Thanks so much.
Ron Lombardi: Thank you, Jon.
Operator: The next question is from Mitch Pinheiro with Sturdivant. Please go ahead.
Mitch Pinheiro: Yeah. Hi. Good morning.
Ron Lombardi: Good morning, Mitch.
Mitch Pinheiro: Hey. The question was -- yes, it was in the, your press release, but you talked about dynamic supply chain and the inflationary environment thatâs obvious issues. But can you, I guess, talk about some specifics there, like, what it is in the supply chain thatâs causing that, you said, things were changing around one thing, one quarter, itâs another thing the next quarter, so can we talk about that a little bit?
Ron Lombardi: Sure. I think the factors that are causing the challenges in the supply chain for us are consistent with, I think, most CPG companies and the first thing, it starts with the suppliers having enough labor, I think, we have all heard about companies struggling to hire, more recently itâs been related to absenteeism from COVID infections, disrupting the supply chain. And then, as a result of those factors, itâs impacting deliveries of packaging material, maybe trucking shortages, those kinds of things. So itâs these come and go disruptions into the supplier base or maybe a supplierâs supplier that is disrupting the predictable flow of product or expected flow of product from the suppliers.
Mitch Pinheiro: Okay. And then, so how does about that, you talk about retailers wanting more inventory and when you look at your finished goods are up in the current quarter, which is consistent with that. We -- are we going to see, where do you think your inventories go from here, are you going to need more finished goods or are you just having trouble getting the finished goods?
Christine Sacco: Let me try. Itâs Chris. So one thing to note, as you are looking at our inventory levels, depends on what period you are comparing it to, right? If you are comparing it to last year at this time, remember, we have about $6 million of inventory from the Akorn acquisition this period. But as we expected, higher costs are flowing through our inventory, right? So when we think about units, itâs kind of similar, so most of the increase is really related to the expected inflationary measures. So thatâs just something to think about when you are looking just at dollar amount of inventory.
Mitch Pinheiro: Okay. Thatâs helpful. And then with TheraTears, what -- where -- whatâs happening with that like what are you -- you talk about any other marketing extensions, the performance service territories within you customer base, any color around that would be helpful?
Ron Lombardi: Sure. So, in a lot of ways itâs the typical playbook that we execute during the first year of ownership, right? So we have got a year in one month under our belt roughly and we launched a new product, TheraTears extra preservative free during the last year. So we got going on new products and innovation. We are looking for expanded distribution opportunities and regional food and drug in dollar are a couple of examples. And the marketing team has spent a lot of time, working to further develop the marketing and communication plans for the brand. So you will see updated marketing and TV advertising, for example. So itâs no one thing, Mitch, a number of things from our playbook to get this thing going and a year into it, we feel as good as we did day one or when we were doing diligence in terms of the long-term growth opportunities.
Mitch Pinheiro: Okay. And just two more quickies, are you -- have your sales been affected at all by just out of stocks, the fact that there are some inventory challenges at the retail level?
Ron Lombardi: Yeah. We have got pockets where we have had supply chain challenges that have caused out of stock at shelf that have come and gone over the last year or so. So we have had some pockets of it where it has impacted share in sales.
Mitch Pinheiro: Is there affect, I mean, is it --- does it have a material effect, I mean, did it represent, 1% drag, 5% drag, is there any feel for that?
Ron Lombardi: No. It hasnât been material to our overall performance and for the most part, they have been short lived and we found ways to recover and get back in stock. But itâs the kind of thing that, as I described earlier, they come and go as we chase them and we fix one and a new one will pop up for the most part.
Mitch Pinheiro: Okay. And then just last, Chris, is the 22% tax rate is that what we used for the year?
Christine Sacco: No. You should use 24% for each of the next three quarters in the full year. It was aâ¦
Mitch Pinheiro: Okay.
Christine Sacco: â¦ one-time kind of discrete item in Q1.
Mitch Pinheiro: Okay. All right. Thank you for taking the questions.
Christine Sacco: Sure.
Ron Lombardi: Thanks, Mitch.
Operator: The next question is from Rupesh Parikh with Oppenheimer. Please go ahead.
Erica Eiler: Good morning. Good morning. This is actually Erica Eiler on for Rupesh. Thanks a lot for taking our question. So, I guess, first I wanted to maybe touch on price gaps, just curious how your price gaps look today versus private label on your other competition? And then as you look at your categories, any meaningful changes in private label penetration lately or is it more of the same there?
Ron Lombardi: So, first, starting with the price gaps. They continue to be consistent with historic differences, whether itâs between branded competitors or private label. And again, for the most part, pretty much everybody has taken prices up as we have all adjusted to the inflationary pressures. So, no real changes there. And in terms of private label share, we havenât seen any changes in the private label share or penetration of distribution and we really donât expect any kind of change in the private label dynamic as we look forward.
Erica Eiler: Great. And then as you wrapped the prior yearâs strong performance, has anything been surprising in terms of what you are seeing at different retailers, are you seeing a shift to discount channels or anything like that? And then secondly, as we think kind of about channels, the pharmacy channel I know we have asked this before, but the pharmacy channel clearly benefited last year from foot traffic related to COVID vaccinations and testing. Just latest thoughts maybe on how you are thinking about the pharmacy channel over the next few quarters?
Ron Lombardi: Yeah. So if you look back over the last couple of years, we have seen some channel shift as consumers moved to online, right? We have talked about how well we have done in Amazon another dotcoms and there has been a resurgence in the pharmacy of the drug channel as consumers shift shopping there to get boosters or COVID testing and that kind of thing. So as we sit here today, itâs hard to predict and we fall back to our long-term strategy of being broadly available and having broad distribution so that no matter where the consumer chooses to buy the product that will be there available for them as they look for their trusted brands. So as you think in speculate about what a recession might due to channel shifting, although we think about it, we are prepared to be ready of the consumer shifts from the channels, I have just mentioned back to some other channel as they look for better price value proposition will be there ready for them, so.
Christine Sacco: Yeah.
Ron Lombardi: We have been successful through the change and we think we are well positioned to whatever happens.
Christine Sacco: I think it is piggyback on that also we talk about consistent profitability across channels, so should there be a shift like, Ron just mentioned, we feel confident that our profitability will be sustained.
Erica Eiler: Okay. Great. Thank you so much.
Ron Lombardi: Thank you.
Operator: The next question is from Linda Bolton Weiser with D.A. Davidson. Please go ahead.
Linda Bolton Weiser: Yes. Hi. Good morning. So I was wondering I know that the IRI tracked channel data does not at all tell the whole story. But nevertheless, it looks like that in the oral care category that you have been lagging the category a bit in your POS growth. I think that would be DenTek. Is there anything going on there and would there be some reason why the share trends would be different in track channels versus non-tracked channels?
Ron Lombardi: Yeah. Good morning. Good morning, Linda. So, first of all, for our oral care products where we have a big share of the guards -- of the dental guards, a lot of that does flow through the dotcom channels, including Amazon, where we have had high levels of growth and itâs actually one of our top brands online. So there is, to your question, a big disconnect between IRI in the oral care even more than our other categories and we have continued to do well there.
Linda Bolton Weiser: So, like if you look at DenTek brand sales, like, roughly what percent are the flosses and picks and things like that versus the dental guards roughly?
Ron Lombardi: Yeah. Itâs been a declining portion of our oral care business by design, as we have refocused on better value in getting away from commoditized picks sold that at retail. So I donât have the percentages off the top of my head, but itâs steadily declined based on our strategy of focusing on other products in that category over the past few years.
Linda Bolton Weiser: Okay. And then I was just curious with the acquisition, I think obviously, if they are appearing in the most important brand. But I thought there were a few other little tail brands that were part of that acquisition. Can you remind us what those were and have you made any decisions about those are keepers or whether they might be divestiture candidates?
Christine Sacco: Yeah. Good morning, Linda. This is Chris. So there were five other small brands, excuse me, four other small brands, five in total that came with the acquisition. The most significant being Diabetic Tussin and Mag-Ox, which is the VMS supplement. So when you think about those in the $4 million to $5 million range a year type of thing. So, not very large and performing generally as expected at this point.
Ron Lombardi: And Linda no different than any other brand in our non-core portfolio, there serve a purpose in the portfolio of generating cash, but the focus with the acquisition was concentrated in TheraTears.
Linda Bolton Weiser: Okay. And then, I was just wondering, a lot of investors are thinking about different things that happened in a recession and there is some idea that if unemployment rises and people lose their health insurance or something like that, that there is a trend toward more self-medication. Do you see that kind of trend being similar to other historic periods where you might see a bump in the category in a recession or do you think something has changed that would make the situation different this time around?
Ron Lombardi: At this point, we think the kind of the trends and the things that we have seen kind of through 2008 and 2012 would be consistent if we enter into a recessionary period, is one, in these categories itâs kind of the last place people look to save money when you are taking care of your health or somebody in your family you stick with the brand and the products that have proven to work with you over time. And to your point, in the past we have seen in an environment where people may lose health insurance that are more likely to be proactive in treat on their own and actually start to treat ahead of things. So there was a bit of a boost from that in prior years. So we would expect those same kind of trends to be consistent if we enter into a recessionary period and consumer start to get pinched financially.
Linda Bolton Weiser: Okay. I guess thatâs it from me. Thank you very much.
Ron Lombardi: Thank you, Linda.
Operator:  Our next question comes from Stephen Geyan  with Sidoti. Please go ahead.
Unidentified Analyst: All right. Can you hear me?
Ron Lombardi: Yeah. Good morning.
Unidentified Analyst: Good morning. This is Stephen Geyan for Anthony Levandowski. Are you seeing any meaningful changes lately to advertising and marketing rates?
Ron Lombardi: Yeah. So they have been subject to inflationary pressures like most of the other input costs that we have seen. Our marketing group continues to look for ways to continue to be effective and efficient in their tactics in the marketing vehicles that they use. So itâs not unlike any other factor that we deal with an inflationary environment. We look for ways to save money and ways to continue to be effective in a rising cost environment.
Unidentified Analyst: Thank you. And what is your outlook for acquisitions?
Ron Lombardi: Yeah. So we will continue to be consistent with past approaches of looking for opportunities that meet our long-term brand building criteria. So more of the same in that category.
Unidentified Analyst: All right. Thank you for taking my questions.
Ron Lombardi: Okay. Thank you.
Christine Sacco: Thank you.
Operator: Next we have a follow-up question from Jon Andersen. Please go ahead.
Jon Andersen: Hi. Thanks for the follow-up. I am just hoping to get a sense for what you are thinking regarding interest expense for the year with like and this gets to kind of your plans for the free cash flow for the year obviously and also kind of rate outlook, any help there would be great? Thanks.
Christine Sacco: Yeah. Hi, Jon. So we did call interest up a bit from the initial guide based on the fluid environment, right? We think we have been prudent in factoring rate hikes throughout fiscal 2023, think of it north of 3% on a LIBOR basis. But it was essentially offset with the benefit of the share repurchase we did during the quarter.
Jon Andersen: Okay. Thanks.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ron Lombardi for any closing remarks.
Ron Lombardi: Thank you, Operator. Thanks again to everyone for joining us today. We are off to a nice start to the year and look forward to updating everyone again in November. Have a great day.
Operator: The conference is now concluded. Thank you for attending todayâs presentation. You may now disconnect.